Santiago Donato: Good afternoon, everyone. I'm Santiago Donato, Investor Relations Officer of Cresud, and I welcome you to the Fiscal Year 2020 Results Conference Call. First of all, I would like to remind you that both audio and a slideshow may be accessed through company's Investor Relations website at www.cresud.com.ar by clicking on the banner webcast link. The following presentation and the earnings release are also available for download on the Company website. After management remarks, there will be a question-and-answer session for analysts and investors. If you want to make a question, please click the bottom labeled raise hand. Before we begin, I would like to remind you that this call is being recorded and the information discussed today may include forward looking statements regarding the Company's financial and operating performance. All projections are subject to risk and uncertainties and actual results may differ materially, please refer to the detail note in the Company's earnings release regarding forward looking statements. I will now turn the call over to Mr. Alejandro Elsztain, CEO. Please go ahead, sir.
Alejandro Elsztain: Thank you very much. Good afternoon, everybody. Welcome to our fiscal year. We are finishing our balance sheet of 2020, June 2020 results. First of all, I hope everyone is safe and well in this rare and special occasion of the COVID-19. We are closing the balance sheet in Page number 2, and we can see that the adjusted EBITDA that we are achieving is ARS33.4 billion, that is a 21% higher than last year numbers. And something to remark, we can see related to the agriculture, the agri business, the adjusted EBITDA for the year is at 31.3% higher to last year numbers adjusted by inflation. We have a very record planted area for the whole story of the group, and this is 264,000 hectares through the four countries. The debris represents 6.5% higher than last year plantation areas. Related to agri business, we can see that the main issues of the balance sheet, we sold 6% of the stake of BrasilAgro. That represented for us $15.6 million. Apart of that, in the middle of the period, BrasilAgro made a merger between Brasilagro and Agrifirma that was a accompanied formed in Brazil to replicate our strategy that finally decided to leave the business and gave us the option of merging through shares, we pay them through shares, and we add to our portfolio 29,000 hectares of farmland in Brazil in the Bahia region. This year we had normal operation in the region because this is an essential activity, so the agribusiness was normal. When we look at the net results of the year, we can compare and we see again in this year of ARS20 billion comparing to a loss of almost ARS41 billion last year. And if we go to the net results attributable to controlling company, we see a gain of ARS3.9 billion compared to a loss of last year of almost ARS27 billion. There were some sales, I will talk later about the sales that they were done. All in BrasilAgro, the rest of the region didn't sell, ARS84 million in BrasilAgro. In the urban business and investments abroad, we had the shopping malls and hotels, the last quarter, last suffered a lot since 20 of March, we have the coronavirus, the COVID-19 that lock down the country and we shut down all the shopping centers and hotels. So, we are going to see the main effect in the last quarter of this year and the first quarter of next year. There was a normal operation in the office net segment I mean here not only normal operation, but many sales that we did during this last quarter of last year and the first quarter of this next year of 2021, representing $145 million that at a very low cap rate we thought it was clever to sell, cancel debt and begin new construction, but today are much cheaper to do. And in Israel, in this time, negotiations with the IDBD on holders reach that the Tel Aviv District Court ordered the opening of a liquidation procedure against IDBD. We are analyzing the resolution and evaluating the course of action for the future. We're going to go to more details a little later. So we can move to next page and we can see that in the year we began with a total surface of 731,000 hectares between own and long-term concessions and we did some small cells. So, the small sales done in Brazil are small in hectares. This shows us how small we did in the middle -- the merge of Agrifirma and the purchase of Serra Grande in May for 4.5 thousand hectares. So we grew in the year. So we had our highest production level selling less than buying, so we grew 4% comparing last year numbers. Talking about the merge with Agrifirma, here we show that there are firms very adjusted to Chaparral and Jatoba to existing firms that we were selling in cars in the past in Jatoba. In Jatoba, we were sitting portion and portion many the last years. In Jatoba we didn't begin the sales but this is majority still ours. And we had the chance of merging these assets in that same neighborhood of Bahia. That gives us more scale synergies because we don't hire no-one to operate this. We have G&A dilution. We did emerge through net asset value to net asset value, considering BrasilAgro at ARS31.5 per share. So, we issue these shares and with did issuance Cresud diluted a little because after emerged and after the sale that I explained before that we sold 6% of the shares, we went from the 43% to the 33.6% of the Company. So, this is the first transaction we did in our history, issuing shares, and we think we are going to keep doing this in Brazil because this is a very good way to grow and to give synergies to the Company. If we move to next page in the Page number 5, we can see the four small cells, all of them than in Brazil. And the profit is the yellow part of the orange, majority of the sales are gains, so book value is very low. So, we see 14 to 34, 7 to 46, 7 to 67, 2 to 19. We can see the total surface of the sales net of the areas is 2.4 thousand hectares of arable land that we sold with huge gaze. So the total is sales of $19 million with cost of $2 million. This is the kind of internal rate of return that we are achieving in reals and in dollars, 15% or 20% more in the reals and 5% or 15% in dollars, some of them because of the variation in Brazil affected our internal rate of return in dollar terms. So with that, the Company it's adding -- the Company in the meantime had the chance of buying another asset called Serra Grande, that it's an area for 4,500 hectares, 2,900 to be developed, and from that we are doing adding not only new land, but adding rental. This owner gave us 5,700 hectares land of rental for 12 years and auction in the real estate. That's the reason why we did this transaction in Brazil, in the state of Maranhao. So, we can move to the next page and we can see the evolution in the planted area, and we can see that we achieve our record in size arriving to the 264,000 hectares, main two countries, Argentina and Brazil. After that Bolivia and Paraguay, an increase of 6.5% compare in last year. Soybeans being more than half 51, corn 24, 11% sugarcane, it's relevant and the investment in sugarcane is very big. So it represents more than 11 in size of investment. So, we see how this year, the Company had big size in real estate and big size in operation. And the combination of the two, we're going to see later made as a very good and a record in operational combining analyst important year for the real estate. Small sales that the two included made us to have a record in EBITDA. So, we are going to now introduce Mr. Carlos Blousson, who's going to go more to the details.
Carlos Blousson: Thank you, Alejandro. Good evening, everybody. Let's move to Slide number 7 farming, commodity prices and global stocks. We can see in the graph in the top right of the graph, the prices keep the low trend, but after finished the fiscal year in the last two months, the prices started to increase considerably about 12%, 14% in corn and soybean. The reasons are the following that's considered the supply, the production of the crops in South America performed very well in general. The rate in an increment in the global stocks and the production in real estate is also coming well. Let us now overlook the fact that the stocks in United States started to fall down due to increase on the demand post-pandemonium. This is partially related to the fact that agreement with China and other states began to be full fine. Regarding soybean stocks consumptions ratio, we can see in the graph, a decrease in the world's ratio. This happened due to the demand of accounts they offer particularly in China before the pandemic. Talking about corn, we see that the corn stock conceptual ratio, the world's ratio increase especially United States are waiting it to achieve the second record in competition of about 340 million tons in this campaign. This matched a low in the use of corn for ethanol production, affected by the decrease of oil prices in the world because of the pandemia. We appreciate in the FOB soybean price in Brazil continued to be more competitive compared with United States and Argentina. The reason of the delay, we have two reasons, one is the delayed in agreement to the United States and Argentina was rather the Argentina's demand was focused in Brazil market. Another reason is the evolution of the currency in Brazil made a very good price to the Brazilian farmer sell at good prices. Let's move to the next page, the Slide number 8. The good productivity result for campaign 2020. As you can see in the graph, the provision was a record obtained evolution. You have a good work condition and the record planting area. The global was a record obtaining evolution of 828,000 tons increase in 2% in relation to the previous year. Related to the good years in the line of the budget, we have 6.1 tons for corn and 2.7 tons for soybean. The sugarcane production was also a record, achieving 2.4 million tons increase by 12.1% the total of the years very good especially in Brazil. Lastly, the meat production was kept a stable despite the fact that the Argentina reduced 20% of the cattle stocks obtain profit on the stock. Let's move to the next Slide number 9, the COVID-19 agribusiness working as necessary activity, protocols used by Cresud on these farms because Cresud is an agribusiness company. It's considered essential during the pandemic. We make different protocol. One is security and hygiene protocols, control the farm assets, so paid the visits to the farms, reduced transport use and chains in the way of teleworking. Move to the next slide. We’re talking about meatpacking facility. If you look at the last year was a record volume of slaughter canals achieving 116,000 heads due to the investment to make in the plant and the increase the export business. There were of 66% more in kilograms and 39% in value, including China, China’s market as well the Kosher business optimization for Israel and the United States market. The activity generates the first positive EBITDA of $1.5 million after the last five years of losses. Let's move into the agriculture, both companies have competitive service. The third one is our broker company, future and options continue growing in the local market ended to the trade corn evolution over to the 5 million tons. A market share of 5.3% in corn, 3% in wheat and 3.7% in soybean was obtained because it's places itself as the leader grain broke in Argentina. Agrofy, our business e-commerce platforms continue to evolve in the annual visit to 41 million visits and mostly contacts 1.2 million contacts. We're all in year to year more than the hundred percent. The revenue also increased by 43% in $2.6 million, and we continue to spend it in LATAM. Thank you everybody. I will hand over to Matias.
Matias Gaivironsky: Thank you, Carlos. Good afternoon, everybody. If we move to Page 12, we have a quick summary of the performance of our operation under years and years of commercial properties. If we see in shopping malls, we are suffering the lockdown in Argentina. So our malls are close since March 20 in the city of Buenos Aires. We only have one shopping center open and some malls in the interior of the country that have reopened and there are strict protocols and safety. If we see our stock remaining stable 332,000 square meters, the occupancy was slightly down decreased to 93.2%, and our retail sales decreasing significantly because of the lockdown, with 92.9% during the quarter and 25.9 during the year. If we see the office building, the office remained under normal operations. Red collection was normal. There is a slightly increasing the vacancy of all was, Buenos Aires city premium market 200 and above led our development, is under construction and unfortunately was, the construction was delayed because of the pandemic. Now, it's already under redevelopment and we are estimating to finish the construction more or less, by the year or at the beginning of the following year. The work is almost ready 95%, works progress and 61% is already a sign of the commercialization. So, we'll be occupied at the beginning of the operation. If we see the hotels also affected by the pandemic, there is, all the hotels were closed since March '20. So, we still have the same rooms and occupancy is almost zero because of the virus. So, if we move to Page 13. We have here the description of our investment in Israel. As Alejandro mentioned, there was a negative resolution of the court district in Tel Aviv, although we have been negotiating with the bondholders of the three series of bonds of IDBD. The Company entered into a negative NAV because basically they decrease the price of the shares of the underlying assets. And also there was a financial challenge to achieve the payments during the year that the Company basically needs to sell an asset that was the airline company or a shopping in Las Vegas and due to the pandemic was impossible to sell. And in that situation, well, here we have the description of the three series of bonds that were one of the series is without any collateral and the two others has some collaterals in the case of Series 14 the 70% of the shares of DIC and in the Series 15 to have the 5% of the shares of CLAL. So, after several rounds of negotiation where Dolphin tried to reach an agreement that benefits all the parties. The grade rejected the offers and decided to ask to the Tel Aviv District Court to order the opening of a bankruptcy proceeding against IDBD. On last Friday, the court resolved that IDBD is insolvent and there has therefore resolved to grant all the three orders requested by their bondholders and issue an order of the initiation of a proceeding or litigation of ID -- sorry, liquidation procedure liquidation of IDBD that has appoint a liquidator to the IDBD, an interim receivers over the pledged shares of the DAC and CLAL to preserve the rights of Series 14 and Series 15. This is this happened very recently on last Friday. So, as of the date, we are analyzing together with our local and international advisors, the traditional decision, our alternatives and our course of action. In the meantime, it's important to mention that we already value our investment in IDBD at zero. So, in our financial statement, at IRSA level and at Cresud level, the investment in Israel is already reflected that zero value, so there was that won't have any, any other impact for our financial statements. For these financial statements, we as of June and the numbers that we're going to see, we consolidated our investment on accounting basis in both in Cresud and IRSA. But it's very likely that from the next quarter, we will have to consolidate our investments since this order happened. So, if you want to see more detail about IDBD and the investment and the impact at IRSA level, there is more information on the website of IRSA. And also we just have a conference call at IRSA level and you have the replay on our website as well. If we jump to Page 15, regarding the numbers that we just presented last Friday. We are finishing our fiscal year with the net income reaching ARS20 billion in fiscal year 2020 against a loss last year of ARS40.7 million attributable to our controlling interest or to our shareholders, the net income achieved ARS3.9 billion against a loss last year of ARS26.7 billion almost ARS8 billion. If you see on Argentina business sector and the Agribusiness, where are the lines with extraordinary results, we see the first impact in the line six, changing fair value that we can see in the Argentina business segment that these line contribute with a positive result of ARS33.2 billion against a loss last year of ARS38.6 billion. This is basically attributable to the valuation of our investment properties at IRSA level and IRSA commercial properties level basically the offices and the land bank that is valued at pesos according to its fair value. This valuation also supported by all the operations that IRSA did and IRSA commercial properties did selling asset at values according to these valuations. Also, the other important effect is in the line of the net financial results that we will see in the following pages and also in the lines 12 that is related to the results of associates and joint ventures, that is reflected, that here we reflect the result of the situation of the lipstick building, where your study decided not to afford any more day the ground lease and then the rent of the land of that building that we already, we revert all the results that we have on that investment, that generated a positive result of almost ARS7 billion. If we go to next page on Page 16, here we can see the results more on the business side. We have excellent results on the Agribusiness, all the lines were positive. So according to what Carlos and Alejandro so, we are in a record compared with a record of surface with prices and yields in the grain line and in the sugarcane that that helps us to improve our results compared with the previous year. So, all goes Nielsen in almost all the lines including the mid back and facility including fear. So the only line that shows that decreases in the farmland size but is more related to the amount of farms that we sold in the previous year that compared with this year, but this year also we have good results on that. So we are very happy on this performance. In the urban segment, we see a decrease in the shopping malls because of the pandemic basically. Offices with better results in real terms, that here we have, that our revenues are in dollars and also we have one more building under operation that hotels with a deep decrease because of the pandemic and saves on developments without any important measure here. If we sum to Page 17, we see the breakdown of our net financial results. Here the main impact is the evolution of the effects. This year we have the valuation higher than inflation that impact on the line number three, the next exchange is differences were this year we have a loss of ARP3.9 billion at the level of Cresud and 6.5 at the level of IRSA compare with again last year because last year we have an appreciation in real terms of the peso. Regarding in the Israeli business segment the effect was related to cloud. We have been dealing with that situation since the beginning of our investment and every time or we value our shares at market prices and the price of the shares decreased significantly over the years. Finally, on Page 18, we have the breakdown of our debt. There was a very active quarter and year for Cresud. We issue debt in the local market basically dollar link notes for $83 million in June and after that the subsequent event. We sold $25 million more for a three year general at the rate of 2% fixed. So we are canceling debt with a lower cost of interest for the Company. There is a new event, after we have been prepared ourselves to cancel the debt that expire in November that you can see here in the line two, the $73.6 million that expired in November. There was, there is a new regulation of the central bank that established that companies must refinance the principal maturities that expire between October and March 2021. So the central bank will only give access to cancel up to 40% or only will you ask us to buy dollars at the official exchange rate to cancel up to 40% of the principle that happened during this period of time. We are one of the companies affected by this regulation. So we should present a plan to the central bank in order to refinance the remaining 60% of debt for a 10 out of all, at least two years of average life. So we are working on that. And we hope that we can reach an agreement with our graders in order to fulfill with the regulation. With this, we finish the formal presentation. Now we will open the line to receive your questions.
Operator: Well, this is the time for the Q&A session. [Operator Instructions] [Asus Ganing] wants to do a question. Please go ahead.
Unidentified Analyst: What is the total amount of the net investment in IDBD and DIC that's been written down to zero in U.S. dollars, please?
Matias Gaivironsky: Sorry. I'm not sure that I heard your question. The question was about if our investment in IDBD was routed down to zero in dollar terms, that was the question?
Unidentified Analyst: What was the total amount of the investment that was written down to zero?
Matias Gaivironsky: There is, that our investment has started since 2012. So this last quarter, that was the, after the resolution of the court, the investment that was writing down was all around $20 million in our financial statement, that was in the last quarter. Previously, there was different losses and according to the consolidation of our results. We have been writing or posting losses during the year and basically related to the valuation of CLAL and the CLAL shares that we have to give the impact on our books.
Unidentified Analyst: Okay and one follow-up please. Does Cresud have any interest in the [Elsztain] project with Yamana Gold?
Matias Gaivironsky: No, no. That is under the ownership of our chairman is not related at all to CRESUD.
Santiago Donato: Any other question? If there are no more question we conclude the session. At this time, I would like to turn back to Mr. Alejandro Elsztain, CEO for any closing remarks.
Alejandro Elsztain: We are closing a very real special year, not to agribusiness that it's really essential and it's showing the strength and the rebound that we are seeing the last two months on prices, which has been a more interesting place to the business related to the agribusiness. In the case of Brazil, we see a lot of interest. Farmers in Brazil are finishing a beautiful campaign in yields and in prices, and they have a lot of gains and in their cases, the reinvestment on land it's makes them to save some taxes. So, we expect a very active real estate campaign in Brazil for the next. We expect that some movement on the rest because agribusiness is keeping attention on the rest of the region too. And our companies in the service companies are keep growing and want to keep growing on the region. So we are very bullish on that too. Related to the urban, we are expecting the opening and we are waiting for that soon. We are in our spring and we are expecting the opening of some of our shop is opened. The ones that they are in the interior of Argentina, we are still waiting for the opening of the majority of the shopping in Buenos Aires and greater Buenos Aires and the hotels. So, we are facing a special year. And in the case of Israel, we are seeing what our generosity gives we have. So we hope to have a good 2021. We thank everybody for supporting and coming to the Company, so safe and have a very good day and better year for 2021. Thank you very much and have a good afternoon. Bye.